Operator: Thank you for joining us for the Vectrus Second Quarter 2017 Earnings Conference Call and Webcast. Today's call is being recorded. My name is David, and I'll be the operator for today's call. At this time, all participants have been placed in a listen-only mode [Operator Instructions] And now I'll pass the call over to your host, Mike Smith, Director of Investor Relations and Corporate Development at Vectrus.
Mike Smith: Thank you. Good afternoon, everyone. Welcome to the Vectrus’ Second Quarter 2017 Earnings Conference Call. Joining us today are Chuck Prow, President and Chief Executive Officer and Matt Klein, Senior Vice President and Chief Financial Officer. Slides for today's presentation are available on our Investor Relations website, investors.vectrus.com. Please turn to Slide 2. During today's presentation, management will be making forward-looking statements pursuant to the safe harbor provisions of the Federal Securities Laws. Please review our safe harbor statements in our press release and presentation materials for a description of some of the factors that may cause actual results to differ materially from the results contemplated by these forward-looking statements. We assume no obligation to update our forward-looking statements. At this time, I'd like to turn the call over to Chuck Prow.
Chuck Prow: Thank you, Mike. Good afternoon, everyone, and thank you for joining us on the call today. Please turn to slide three. I am pleased to report our solid operating performance and success in the marketplace continued in the second quarter. I will look for this momentum to continue through the second half of 2017. With regard to new busyness, the Keesler contract cleared all legal challenges, and we're currently in contract startup. Additionally, our pipeline progression continues at a good pace, and I am optimistic with regard to additional pipeline conversion in the second half of 2017. I'll discuss both Keesler and our pipeline in greater detail later in my remarks. With regard to operating performance, I am very pleased with our team's progress on the program startups at Thule Air Base and Keesler and on the re-competed and a retained contract at Maxwell and the army OPMAS-E program. The program startup phase was difficult, and I am proud of our team's success to this point for these four complex programs. Although I will discuss Enterprise Vectrus in greater detail later in my remarks, I do want to reinforce how optimistic I remain with regard to the impact it will have on our business performance, as we seamlessly integrated for programs and functions and aggressively leverage best business practices and technologies wherever possible. Given that the execution of our strategy will continue to place added focus on leadership and talent development, we recently held a summit for current and future leaders within Vectrus at our Colorado Springs headquarters. With the global workforce of approximately 5,600 employees that spans 143 locations and 18 countries, we've an extensive and rich employee base from which they cultivate future leaders. We’ve planned to leverage and invest in our people to drive our strategy and business results. Finally, I would like to reinforce our commitment to our client’s mission and the broader defense industry. We have been fortunate in the first half of 2017 to have been recognized by Military Times for the Best for Vets: Employer 2017 ranking and by Victory Media's publisher of GI Jobs and Military Spouse with the 2017 Military Friendly Employer designation. Now, I'd like to discuss our second quarter 2017 financial results and highlights. Revenue for the second quarter were $259 million, down $49 million year-over-year, due primarily to completion of APS-5 contracts and lower revenue from our Afghan programs. Operating margin were 3.5% compared to 3.7% last year. Diluted earnings per share were $0.49, down from $0.55 in the second quarter of 2016. Year-to-date, net cash provided by operating activity was $6 million compared to $19 million last year, due primarily to the temporary timing of cash collections in the period. Regarding new business, I am pleased to announce that are on June 12, the U.S. Government Accountability Office, or GAO, dismissed the protest associated with our Keesler Airport Base contract discussed during last quarter's call. As a reminder, Keesler has a $97 million, 7 year firm fixed price contract to provide base operation support services at one of the largest technical training wings in the U.S. Air Education and Training Command. Keesler is home to the 81st Training Wing, is the U.S. Air Force Electronics Training Center of Excellence and handles more than 28,000 students annually. This long-term contract award is also an important win for our client and this is bringing Keesler in line with the airport division for support contracts and will yield savings of approximately $16 million annually. The Keesler award goes on a $278 million Maxwell Air Force Base operation support recompete win that was awarded in the first quarter. That's continued as trusted provided of the facility and logistics service within the air force in eight countries, and we look forward to continuing to deliver value-added solutions and the support in this mission. We deeply underhand our clients continuously involving in complex mission requirements as well as a unique manpower and budget challenges. Through our product design and provide solutions that can answer our clients' challenges while maintaining high levels of service, performance and innovation. Vectrus is pushing the curve in how we can perform better, faster and more efficiently, to further enable mission success for our clients. Year-to-date, we have generated contract bookings in excess of $900 million, which includes new business, recompetes, contract modification and expansions. As a reminder, many of our contracts are longer term in duration, often time raising between 5 and 7 years and sometimes even longer. In total, our new business or recompetes awards are helping to improve our revenue visibility over the longer term. We continue to reduce our balance sheet leverage and ended the quarter with $78 million in debt, which is down $7 million from the fourth quarter of 2016. Under our credit agreement, our mandatory payments in the third and fourth quarters are $3.5 million and $5.3 million, respectively. At 1.61 times debt-to-EBITDA, we remain well below our 2017 covenant of 3 times. Finally, during the quarter we successfully underwent an ISO 20000-1 triannual recertification assessment, where IT service management system’s processes and practices were reviewed for compliance and effectiveness. This international recognized credential is an enabler that allows us to make qualifications necessary for current and new business. Vectrus remain committed to ISO and other industry-leading standards that bolster our ability to provide robust and differentiated solutions to our clients. Please turn to Slide 4. Our year-to-date results provide visibility for us to reaffirm our 2017 guidance for revenue, net income, diluted earnings per share and net cash provided by operating activities. Matt will discuss the guidance ranges in greater detail shortly. Turning to new business. Our prospects remain solid with over $4 billion of identified opportunities, which we plan to bid over the next 12 months. We also have approximately $1 billion of bids submitted pending award. The timing on award remain difficult to predict, but we remain positive about our ability to continue winning new contracts and retaining our current business. Additionally, over the past few quarters, we have refined our pipeline and concentrated our efforts in order to increase the probability of success on pursuits that are aligned with our core business and our strategic imperatives. I would like to point out that subsequent to the second quarter, we were awarded our third task order under the Air Force Contract Augmentation Program to provide various operations, maintenance and repair services at an air force base in Kuwait. Specific support activities include electrical, power generation, water, fuel, structural and heavy equipment. While the contract value is small, it is an additional new work to Vectrus on a contract vehicle we have not held in the past. It also underscores our rapid response capability and commitment to serving side by side with our clients anywhere and anytime they need us. Whenever Vectrus wins a new contract, the phase-in period is a critical important to both Vectrus and our client. In many cases, we're bringing on hundreds, if not thousands, of employees as well as various subcontractors and vendors during phase-in, all while maintaining expected performance and service levels. At Vectrus, we pride ourselves on providing exceptional performance with minimal risk during contract transition. In some situations, that may require investment [indiscernible], which is why at time we see lower operating margins at the beginning of contracts. One of our primary focus areas for the remainder of this year heading into 2018 is phasing in our recent wins. Regarding Keesler, the phasing was gone exceptionally well. We became fully operational on 1 August and are well underway to helping the air force achieve its vision and mission-centric goals. Additionally, at Thule phase-in, which I'll discuss in greater detail momentarily, continue to go well with full contract operations to begin on 1 October, 2017. We're also aligning our recent Maxwell OPMAS-E recompetes to position for a successful seven- and five-year period of performance, respectively. Turning to our strategy. We continue to make solid progress. As you may recall, our goal is to transform Vectrus into higher-value, technology-enabled and differentiated platform through the execution of three core strategies: expand the base, enhance the portfolio and add more value. Each of our core strategies has a series of strategic imperatives. One of those imperatives we have discussed on prior calls is to aggressively and systematically integrate our enterprise operations. During the first quarter, we advanced our enterprise program known as Enterprise Vectrus. I am excited to announce that we're now in a process of deploying Enterprise Vectrus on our Thule phase-in. Enterprise Vectrus [indiscernible] and expands on some of the most successful attributes of our current programs, which will now be built on the foundation of our Thule contract. The Enterprise Vectrus system employee processes, people and various tools and technology, including IT-enabled solutions, lean principles and phase-in and roadmap, all of which will rebuild entire value best-in-class outcomes. We are also looking forward to deploying Enterprise Vectrus across the enterprise, which will ultimately serve as a differentiator and yield significant benefits to our clients. During the second quarter, we welcomed Sue Deagle to the Vectrus's executive management team, who will serve as our Chief Growth Officer. Sue brings significant federal market experience and will play a major role in the implementation and execution of our growth strategy. Sue is a versatile leader and over the course of her career has excelled with many different roles ranging from system engineer to Vice President of Sales. Throughout her career, she has demonstrated the ability to lead large teams and achieve growth through renovation. Sue sets the ground running, and in a short period she has been with Vectrus. She's already visited several of our programs in Europe, the U.S. and the Middle East. I’d now like to provide an update on our Kuwait-Base, Operations and Security Support Services contract known as KBOSS. As we previously reported in March, we were awarded an extension, which had a one-year base period performance through March 2018. Additionally, the extension includes two options periods: the first being 9 months and the second been in 3 months, which as exercised by the client would then performance through March 2019. In terms of the potential KBOSS recompetition our clients plans to incorporate the requirements on to the Logistics, Civil Augmentation Program V side or LOGCAP V competition. For over 28 years, the LOGCAP program has successfully supported the army and the DoD by augmenting the command logistics capability with commercial service providers. Regarding our LOGCAP acquisition strategy, they are respected to be up to six and definite delivery and definite quantity contract awards. Each base contracts at a 10-year ordering period, and the maximum dollar amount for the 10-year ordering period for all contracts cumulatively $82 billion. The latest update from the army has an award-based scheduled for June 2018. However, the army does not yet issued an RP. LOGCAP V is a recent feed of LOGCAP IV and order to provide a strength of the size of the current contracts from government set the year 2007 through 2016 approximately $20 million has been obligated the three vendors. It is worth noting that Vectrus was a significant subcontractor to a prime time contractor under LOGCAP IV, so we are intimately familiar with the contract and its requirements. From 2009 through 2016, Vectrus has generated a revenue in excess of $1 billion under the LOGCAP IV program. We believe Vectrus is in a well-positioned for LOGCAP V and our capability strongly aligned to our clients' requirements and the emerging operational environment. Vectrus is well known for our ability to rapidly respond anymore across the world and challenging in our – environment to meet our client contingency mission requirements. For over 70 years, Vectrus has provided exceptional results for our clients ranging from sub-zero, audit and NR requirements to the through the desert heat in the Middle East. Now I’d like to turn the call over to Matt. He will go through our financial results and discuss 2017 guidance, and we will open up the call for questions.
Matt Klein: Thank you, Chuck. Good afternoon, everyone. Please turn to Slide 5. Today I'll be discussing our financial results for the three and six months ended June 30, 2017. In the second quarter of 2017, revenue was $259 million, down $49 million or 15.8% as compared to the second quarter of 2016. This decrease in revenue was attributed to lower activity from our Middle East programs of $24.3 million. Afghanistan programs of $16.8 million and our U.S. programs of $9.6 million, partially offset by an increase of $2.1 million from our European programs. During the second quarter of 2017, as previously discussed, our outsized contracts came to a conclusion driving much of the Middle East programs period-over-period there-ins. Operating income for the second quarter of 2017 was $9.2 million, down $2.1 million or 18.5% compared to the second quarter of 2016. Operating margin for the second quarter of 2017 was 3.5% compared to 3.7% operating margin in the second quarter of 2016. Operating income for the second quarter of 2017 was lower when compared to the same period of 2016, primarily due to the reduction in revenue and slightly higher SG&A, offset by cumulative contract adjustments. During the second quarter of 2017, we recorded net favorable cumulative adjustments to operating income of $2.2 million compared to $0.3 million in the same period of 2016. There are many factors that drive contract performance, including successful contract modifications and extensions of current contracts. Adjustments can be positive or negative, are normal part of the business and our guidance contemplate this reality. Interest expense for the second quarter of was $1.1 million or $0.7 million lower in the same period of 2016. The decrease in interest expense was due to a lower debt balance. In addition, in the second quarter of 2016, we incurred bank fees associated with the credit agreement modifications. Tax expense for the second quarter of 2017 was $2.7 million compared to $3.5 million in the same period of 2016. The lower tax expense was due to the decrease in revenue in the second quarter of 2017 as well as a change in the effective tax rate to 32.9% from 36.7% in the second quarter of 2016. The decrease in the tax rate was primarily due to a windfall tax benefit created by the impact of the increase in our stock price on equity-based compensation awards. Net income for the quarter ended June 30, 2017, was $5.5 million compared to $6.1 million in the second quarter of 2016. The decrease is due to lower operating income of $2.1 million partially offset by lower interest expense of $0.7 million and lower tax expense of $0.8 million when compared to the second quarter of 2016. Diluted earnings per share for the second quarter of 2017 were $0.49 compared to diluted earnings per share of $0.55 in the second quarter of 2016. The decrease was due to lower net income in the second quarter of 2017. Now I'd like to discuss year-to-date 2017 financial results, which are reflected on the lower half of Slide 5. Year-to-date 2017 revenue was $549 million, a decrease of $69 million or 11.2% as compared to the same period in 2016. The decrease in revenue was attributing to activity from our Middle East programs of $23.9 million, Afghanistan programs of $37.1 million, U.S. programs of $7.1 million and European programs of $1.1 million. Year-to-date 2017 operating income was $20.9 million, down $2.3 million or 9.8% when compared to the same period in 2016. Operating income as a percentage of revenue was 3.8% year-to-date compared to 3.7% for the same period in 2016. As you will see in our 2017 guidance, discussed later in the presentation, we are holding our full year operating margin at the previously communicated midpoint of 3.5%. This implies a lower run rate for the balance of the year relative to 3.8% we reported through June. The change from the first half performance is a reflection of the potential temporary pressures of phasing in several new contracts. The closure of APS-5 contracts and the implementation of our new strategic imperatives. We believe the new programs, successful recomplete wins, contract extensions, along with the successful implementation of our strategic impairatives, will result in a sustainable annual margin above our historical performance. Net favorable adjustments to our operating income for the year-to-date 2017 and year-to-date 2016 were $4.9 million and $3 million, respectively. Net income for the six months ended June 30, 2017 was $12.1 million compared to $12.6 million for the same period of 2016. The decrease was due to lower operating income of $2.3 million, partially offset by lower interest expense of $0.8 million and lower tax expense of $0.9 million. Year-to-date 2017 diluted earnings per share were $1.09 compared to diluted earnings per share of $1.16 for the same period in 2016. Year-to-date net cash provided by operating activities was $5.7 million, which is $13.6 million lower compared to the same period in 2016. Day sales outstanding as of the second quarter of 2017 was 59 days compared to 52 in the second quarter of 2016. The unfavorable impact is associated with a temporary timing of invoice collections. Please turn to Slide 6. During the second quarter of 2017, we made $3.5 million of mandatory debt payments, lowering the total debt balance to $78 million, representing a total debt to trailing 12 months consolidated EBITDA leverage ratio of 1.61 times. The total debt to trailing 12 months consolidated EBITDA leverage ratio covenant level for 2017 is three times, and will drop to 2.75 times in the first quarter of 2018. We have worked diligently to improve our financial position, and as you can see from the chart, since the third quarter of 2014, we have significantly reduced our leverage profile. As discussed on last quarter's call, we are currently evaluating options to improve the terms of our credit facility, working with our lending partners to improve our financial flexibility for capital allocation decisions in the future. Please turn to Slide 7. For the second quarter of 2017, total backlog was $2.8 billion and the funded backlog was approximately $900 million. Total backlog includes both funded and unfunded backlog and represents firm orders and potential options on multiyear contracts. Total backlog excludes potential orders under indefinite delivery and indefinite quantity contracts and contracts under protest. Backlog includes the $97 million Keesler Air Force Base contract, which clears the [indiscernible] on June 12. Please turn to Slide 8 and we will discuss 2017 guidance assumptions. We are reaffirming our 2017 guidance. Revenue, operating margin, net income, diluted EPS and net cash provided by operating activities full year guidance ranges remain unchanged. The annual revenue will be in a range of $990 million to $1.09 billion. The annual revenue midpoint of $1.04 billion is a $151 million lower when compared to 2016 actuals due primarily to the completion of the APS-5 Kuwait contract phase-out. In 2017, the APS-5 Kuwait contract generated $60 million in revenue compared to $181 million for the full year 2016. The guidance range for operating margin remains unchanged at 3.4% to 3.6% with the midpoint of 3.5%. Net income will be in the range of $18.7 million to $22.3 million. Diluted earnings per share will range from a $1.68 to $2. The midpoint of diluted earnings per share is a $1.84. The range for diluted earnings per share assumes an estimated 11.2 million weighted average diluted shares outstanding. 2017 net cash provided by operating activities is expected to be in the range of $22 million to $28 million. Capital expenditures for 2017 are expected to be approximately $1 million. Depreciation and amortization is expected to be $2.3 million for 2017. 2017 mandatory debt payments are $15.8 million. Interest expense is forecasted at $4.2 million, and we're currently estimating a 36% tax rate for the full year. Now I'd like to provide some insight into 2018 revenue. Setting aside K-BOSSS, both Keesler and Thule are expected to contribute approximately $50 million of incremental revenue. While we were successful in winning all of our recometes during 2017, some contract will undergo our pricing factor reduction versus our historical run rate. Additionally, in 2017, we generated $53 million of revenue from the APS-5 contracts that will not reoccur. As Chuck mentioned earlier, we remain positive on our pipeline and the successful execution of our pipeline could drive additional revenue. Finally, we anticipate contract up for recompete to be about 10% of our revenue in 2018. Now I'd like to turn the call over for questions.
Operator: Thank you. [Operator Instructions] Our first question is from Brian Ruttenbur with Drexel Hamilton.
Brian Ruttenbur: Yes, thank you very much. A couple of questions, first of all on your 2018 guidance. You got several moving parts in there. Can you then tell me assuming you keep K-BOSSS, then what is all of the puts and take mean, roughly flat revenue in '18 or slightly down? What direction are we going assuming no new wins and no new losses?
Matthew Klien: Yeah, so let me just reiterate what we had in the prepared remarks. If we use our 2017 midpoint as a guided or 20 or 10.40 and we have the year-over-year change on APS-5 of about $53 million, and then the incremental growth on new business for Keesler and Thule, that would all aligned to essentially flat revenue base in 2018. We also have a $1 billion of bids submitted and pending awards this year. Depending on the success of the second half of this year, that can also contribute into '18 to give us some growth potential in the next year.
Chuck Prow: And Brian, this is Chuck. I would like to reiterate as well that of that $1 billion vendor current evacuation, we fully expect to see half of that materialized one way ore the other in the second half of this year. So that will give us a great deal of clarity about our growth trajectory for next year.
Brian Ruttenbur: Okay. So APS-5 plus the two wins that Wash and then you have a bunch of bids and then you have your own roughly 10% of your base up for rebid, is that correct?
Matthew Klien: Correct. And if you think about our business, we have on average, a periodic performance of 5 years, you would expect every year to have about 20% under recompete, so it'll be 10% below is the light year.
Brian Ruttenbur: Okay, very good. Let me talk about -- or ask about, excuse me, the refinance coming up or potentially coming up. It seems like you're finally in a position that you can change your terms. You paid down your debt nicely. According to at least my calculations, you'll be down below $70 million by year-end debt. What kind of cash will you have with that roughly $40 million, is that right ballpark?
Matthew Klien: We're trending to about $50 million today in actual cash balance. As we think about the second half of the year, let me go back to when we spun as a new company, we had a very restrictive credit facility. And then so doing a new public company, a lot of uncertainty in the business. We got two years of consistency and a strong debt pay-down plan and we’ve executed that nicely. As we look forward into the fourth quarter of '18, we had a pretty stiff amortization schedule, and we want to get ahead of that. So we're looking at the second half of '17 to refinance our current credit facility. And with two years behind us and some consistency on how we're willing the debt, we think that the term should get much more favorable going forward.
Brian Ruttenbur: Okay. And then another financial question and then I'll ask something different. On the tax rate, do you see that same tax rate rolling forward into '18, barring anything changing in Congress?
Matthew Klien: Yeah, we think that 36% of since '18 and the simple way to think about, it the federal tax rate is 35% and another percent or so for state taxes, primarily related to our contract.
Brian Ruttenbur: Okay. And then let me ask about pipeline. Chuck, what are you bidding on? Is it more base operations? Is it IT work? Is it -- can you tell me what direction you're going with these bids? Is it all over the board and what is your stated objective to expand margins, to expand revenue? What do you want to accomplish?
Chuck Prow: Our pipeline is highly reflective of our current business. So about 75% of our pipeline is based on logistics operations work and 25% approximately is IT-related. And I see that continuing as we move forward. However, what I do see is that the bids that we're submitting in the facilities and logistics business are much more heavily IT-enabled, which will allow us to be much more competitive, and as we've talked in the past, will help us drive margins in the future as well.
Brian Ruttenbur: Okay. And then in terms of LOGCAP the K-BOSSS situation there, it sounds like nothing will happen, an award won't happen until June. That's kind of at the earliest that's assuming all stars line up realistically that it seems like with most recompetes and other things like that seems to stretch out. So you're probably fine for 2018, but -- how are you doing on the recompete side in terms of the K-BOSSS/ LOGCAP, how do you feel like you're positioned this time versus last time?
Chuck Prow: I think that is a great question and we're very excited about both LOGCAP and our positioning for K-BOSSS. We continue to operate in exceptionally higher levels in K-BOSSS in Kuwait in general, I might add, and the Middle East in general I might add, I should say. With regard to LOGCAP, LOGCAP IV did not include, what I'll call, the enduring missions i.e. the K-BOSSSes and Q-BOSSSes of the portfolio, it will and LOGCAP V. So I really think that bolsters our position to win one of the six awards versus the prior three awards on LOGCAP V and that $82 billion of market is something we feel very, very positively positioned for.
Operator: [Operator Instructions] Our next question is from [Ben] with [Indiscernible] Capital Markets.
Unidentified Analyst: Thank you. You got a few questions here, first regarding APS-5. Now this $63 million contributed this year. As we look into our 2018 quarterly model to that $63 million would imply roughly $15 million to $20 million was included in the early part of the second quarter, is that a fair assessment?
Matthew Klien: Yeah, the second quarter has a $12 million of APS.
Unidentified Analyst: $12 million of the $63 million was in Q2? Okay. Perfect. And then a pipeline question kind of building off of what you were discussing here for the facilities and logistics pipeline described as more IT-enabled. I am wondering if you’re able to kind of quantify at all the level of the pipeline that's enhanced with technology solutions that will help enhance your margins. And how does that compare with the same -- with your pipeline a year ago. I mean, how has your pipeline shifted from say 12 to 18 months ago to today in terms of technology solutions in that business?
Matthew Klien: It's hard to put it on a percentage basis, but what I will say our familiarity with how we can augment current manual processes that we support everyday in our facilities and logistics business is improving. So with each passing quarter, we are becoming much more capable and much more comfortable with augmenting what has been typically manual processes through pretty basic in some cases to in some cases pretty sophisticated technologies.
Chuck Prow: And you have to remember, Ben, that pipeline is been evolving over the last 12 months, so we're just starting to see that technology infusion into the pipeline. So as we go through the coming quarters, that will get stronger and stronger.
Matthew Klien: The last point that I'll make with our over laboring as appose is that what we’re also seeing in that business is with our current timeframe base our clients are asking us to be more innovative everyday and find new and better ways to sale for our existing contract base.
Unidentified Analyst: Kind of last question I have and it's might be a little premature to ask, but sounds like you basically gave some legal her employee ID and had her hit road. And I'm wondering if you can elaborate a bit on what's helps you identify the whole with the existing growth strategy or any shift that you're beginning to make? How has she impacted your strategy thus far if you're able to identify any shift as if yet…
Chuck Prow: So our strategy has come together in its entirely here early in 2017, and when I still in her stead focused on is extending the ecosystem that we can participate in. Today we are largely a prime contractor on major base facilities in select IP programs. There are very important channels out there that we can leverage through alliances and other ways of configuring our service with go-to-market. So I see the immediate impact quite frankly, because now we have a focus on it from Sue’s participation in the business and retain.
Operator: [Operator Instructions] Ladies and gentlemen, we have reached the end of the Question-and-Answer Session, and I would like to turn the call back to Chuck Prow for closing remarks.
Chuck Prow: Thank you, David, and thank you for moderating the call today. And thanks all of our participants for attending the call today. I look forward to updating you on our performance following the third quarter of this year. Thank you very much.
Operator: This concludes today's conference. Thank you for your participation. You may disconnect your lines at this time.